Operator: Good day, and thank you for standing by. Welcome to the Smartsheet Second Quarter Fiscal 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Aaron Turner, Head of Investor Relations. Thank you. Please go ahead, sir.
Aaron Turner: Thank you, Tabitha. Good afternoon, and welcome, everyone, to Smartsheet's second quarter of fiscal year 2022 earnings call. We will be discussing the results announced in our press release issued after the market closed today. With me today are Smartsheet's CEO, Mark Mader; and our CFO, Pete Godbole; our Chief Strategy and Product Officer, Gene Farrell, will also be available during the Q&A. Today's call is being webcast and will also be available for replay on our Investor Relations website at investors.smartsheet.com. There is a slide presentation that accompanies Pete's prepared remarks, which can be viewed in the Events section of our Investor Relations website. During this call, we will make forward-looking statements within the meaning of the federal securities laws. We have based these forward-looking statements largely on our current expectations and projections about future events, financial trends and our expectations around the impact of COVID-19 on our business. These forward-looking statements are subject to a number of risks and other factors, including, but not limited to, those described in our SEC filings available on our Investor Relations website and on the SEC website at www.sec.gov. Although we believe that the expectations reflected in the forward-looking statements are reasonable, our results -- our actual results may differ materially and adversely. All forward-looking statements made during this call are based on information available to us as of today, and we do not assume any obligation to update these statements as a result of new information or future events, except as required by law. In addition to the U.S. GAAP financials, we will discuss certain non-GAAP financial measures. A reconciliation to the most directly comparable U.S. GAAP measures is available in the presentation that accompanies this call, which can also be found on our Investor Relations website. With that, let me turn the call over to Mark.
Mark Mader: Thank you, Aaron, and thanks, everyone, for joining us today for our second quarter earnings call. Q2 was a very strong quarter for Smartsheet, our customers and partners. Revenue grew 44% to $131.7 million. Billings grew 47% to $142.9 million; and our dollar-based net retention rate, which incorporates all of our customers, improved by 3 points to 128%. We ended the quarter with over 9 million users and our ARR grew 10% quarter-over-quarter to over $0.5 billion. Our 1,856 customers with ACV over $50,000 now account for more than half of our ARR. In Q2, our average domain ACV grew 42% year-over-year to $5,915. An expansion within our base included 143 customers increasing their ARR by more than $50,000, up 81% year-over-year and 49 customers, a Smartsheet quarterly record, increasing their ARR by more than $100,000, up 158% year-over-year. Additionally, we had 2 expansions over $1 million in the quarter and now have 22 customers with ARR over $1 million compared to 15 last quarter. Enterprise customer deployments demonstrate Smartsheet's momentum in serving the scaled needs of those customers. Our industry diversification remains broad, with our largest industry accounting for just 12% of our ARR. Growth remains strong across industries, including technology, with customers such as Zoom Communications, Hitachi, Intuit and PayPal. And in professional services with companies such as BDO, Insight Global and Jacobs Technology. Q2 was a high impact quarter for companies in health care and life sciences with year-over-year ARR growth of over 50%. This growth was supported by expansions from companies, including Allscripts Healthcare Solutions, Amgen, Prime Healthcare, Yale New Haven Hospital, Vertex Pharmaceuticals, Communicare Health Systems and Medtronic. In addition, we saw strong performance across retail with expansion from companies such as Burlington Stores and Gap Inc., media and entertainment with expansions at NBC Universal and the New York Times, and manufacturing with Johnson Controls and Whirlpool. Our customer acquisition was strong in Q2 as well. Thousands of new customers chose Smartsheet this quarter, including wins at Sky News Australia, Momentus Space, SMG, New Hampshire Department of Health and Human Services, [TESLAco] and Unified Field Services. What these customers have in common is a shared belief that Smartsheet is ideally suited to meet their broad and ever-changing needs. At its core, Smartsheet is an enterprise-grade dynamic work management platform designed to empower business users to transform how they work. We go to market using a land-and-expand model that often starts with the team or department choosing Smartsheet to solve a transactional use case like project management, task tracking or goal management. The solution then grows through a low-friction viral motion when users share their work and engage with those inside and outside of their organization. Where we excel is our ability to enable customers to extend beyond transactional use cases to support transformative operational workflows across their business. In part, this is made possible by our flexible data model, our advanced premium platform capabilities and Work Apps no-code solutions. Our flexible data model combines the agility of a spreadsheet with the power of a database. Smartsheet Advance enables customers to configure and execute workflows between Smartsheet and other systems of record, execute high-volume processes and change management at scale and empowers IT to centrally manage compliance and security across multiple Smartsheet plans. And WorkApps empowers business users to configure no-code apps and share these curated solutions while maintaining visibility and control for IT. In Q2, with the launch of Smartsheet Advance, we saw immediate resonance with prospects and customers signing over 100 deals that included Advance. One example of a customer that expanded was Mimecast. Mimecast Enterprise PMO uses Smartsheet to support objectives related to growth in digital transformation. And with Advance will now leverage Smartsheet to optimize programs and processes outside of that PMO, including marketing operations, channel partner onboarding, sales rep onboarding and large customer account planning. Mimecast considers this investment as a way to remove friction and accelerate the speed of deployment for future smart heat solutions that leverage premium capabilities. In Q2, Smartsheet Advance influenced a significant expansion with a leading provider of equipment and services for data centers. This customer's IT, new product development and marketing departments are at the core of this enterprise-wide deployment. With the Advance platforms premium capabilities, the customer will drive additional value and end-to-end cycle time improvements across critical parts of the business. Smartsheet Advance is also resonating with customers outside the U.S. One example, HIT Holz, a large German container and packaging manufacturer, deployed Smartsheet Advance to increase productivity by doubling project capacity and to capitalize on growing e-commerce trends by providing visibility across complex ever-evolving project needs. A key selling point for the customers' adoption of Advance was the benefit of extending our platform to capture new use cases and further simplifying the implementation process. Beyond Advance, we continue to see customers using our platform at scale. Data Shuttle, which enables scheduled data transport between Smartsheet and other systems of record, processed over 1.7 billion records in the past 30 days, growing close to 20% month-over-month. Proofing was used by customers to collaborate on the creation of digital content 370,000 times in the first half of the year, representing a year-over-year growth of over 350%. Customers have created 40,000 work apps since the launch without writing a single line of code. And customers leverage Brandfolder to manage over 50 million digital assets as of Q2, a 200% increase year-over-year and content delivery views in Q2 averaged 1.4 billion per month. And we continue to innovate for our customers and launch new capabilities. To support our global and non-U.S. customers’ data privacy compliance requirements, we will announce the availability of Smartsheet Regions this quarter. The first region located in Frankfurt, Germany enables customers to instantiate Smartsheet plans in region and does not require any customer content to be shared or routed through our U.S. region. In the wake of changing regulations and heightened awareness on the subject, our research indicates that enterprise buyers are increasingly sensitive to fully, not partially, solving for data residency. We look forward to announcing the availability of additional Smartsheet Regions in the coming quarters. Our partner ecosystem continues to thrive as well. In Q2, we launched integration with HubSpot, making it even easier for customers to enable bidirectional real-time sync of data between HubSpot and Smartsheet. And we also expanded our partnership with MuleSoft. With MuleSoft Connector for Smartsheet, customers can manage a variety of business processes, ranging from sales pipelines to event schedules. In addition to technology partners, our channel partner program is ramping well. We now have 650 channel partners in Q2, partner influence bookings grew 93% year-over-year. I'm proud of the way our growing team continues to execute across the many dimensions of the business. Around the world, people are choosing Smartsheet for simple to sophisticated use case, whether mobilizing a team of creators or scaling a data-intensive workflow with embedded calculations or reporting on data from disparate internal systems. And they do that at enterprise scale using a no-code interface that every single person can engage with. In the near future, everyone using a computer to desk a device in the field or a combination thereof will interact with CWM software every day. As the category leader, pursuing one of the largest available TAMs in software and coming off our record Q2 performance, we are confident in our approach and will maintain a forward-leaning investment posture to drive results for our customers, shareholders and team. Now let me turn the call over to Pete to provide some additional detail on our financials. Pete?
Pete Godbole: Thank you, Mark, and good afternoon, everyone. As Mark mentioned, Q2 was another strong quarter. Our Q2 outperformance relative to our guidance was a function of strong execution by our sales team, significant enterprise expansion, a record number of larger deals and early success of our Advance offering. We have now surpassed pre-COVID levels across most aspects of our business. I will now go through our financial results for Q2. Unless otherwise stated, all references to our expenses and operating results are on a non-GAAP basis and are reconciled to our GAAP results in the earnings release and presentation that was posted before the call. As previously mentioned, second quarter revenue came in at $131.7 million, up 44% year-over-year. The subscription revenue was $121.1 million, representing year-over-year growth of 45%. Our momentum is reflected by the sequential increase in subscription revenue of $13.1 million, the highest quarterly sequential increase in the company's history. Services revenue was $10.6 million, representing year-over-year growth of 40%. Turning to billings. Second quarter billings came in strong at $142.9 million, representing year-over-year growth of 47%. Approximately 91% of our subscription billings were annual, with 6% monthly. Quarterly, semiannual and multiyear billings represented over 3% of the total. Moving on to our reported metrics. The number of customers with ARR over $50,000 grew 64% year-over-year to 1,856. And the number of customers with ARR, over $100,000 grew 73% year-over-year to 748. These customer segments now represent 50% and 36%, respectively, of total ARR. Next, our domain average ACV grew 42% year-over-year to 5,915. We ended the quarter with a dollar-based net retention rate of 128%, a 3 percentage point improvement from Q1. The full churn rate dropped further and is now below 6%. As a reminder, in Q3, we will lap the Brandfolder acquisition, which will result in a 1- to 2-point headwind on our dollar-based net retention rate. Inclusive of this headwind, we believe we will exit the year with a dollar-based net retention rate above 128%. Now turning back to the financials. Our total gross margin was 82%, 2 percentage points higher than the previous quarter. Our Q2 subscription gross margin was 87%, also 2 percentage points higher than the previous quarter. We continue to expect our gross margin for fiscal year '22 to be between 79% and 81%. Overall, operating loss in the quarter was negative $5.2 million or 4% of revenue, an improvement from 8% of revenue a year ago. This margin improvement was a function of scale across our sales and marketing and R&D lines inherent in our model. Free cash flow was negative $3.5 million, which overachieved against our guidance due to strong collections. Now let me move on to guidance. For the third quarter of fiscal year '22, we expect revenue to be in the range of $138 million to $139 million, billings to be in the range of $149 million to $150 million, non-GAAP operating loss to be in the range of $15 million to $12 million, and non-GAAP net loss per share to be between $0.12 and $0.10 based on weighted average shares outstanding of 126 million. Our net free cash flow is expected to be in the range of negative $17 million to negative $15 million. Given our strong Q2 results and the continued momentum we see in our business, we are raising our full year fiscal year '22 revenue and billings guidance. We now expect our revenue to be in the range of $530 million to $533 million, representing growth of 37% to 38%; Billings to be in the range of $619 million to $622 million, representing growth of 37% to 38%. We expect non-GAAP operating loss to be in the range of $55 million to $45 million, and non-GAAP net loss per share to be between $0.44 and $0.36 for the year based on approximately 125 million weighted average shares outstanding. Our free cash flow margin expectation in fiscal year '22 is to be between negative 6% and negative 4%. To conclude, we were pleased with this quarter in several fronts. Among them: The resonance of our Dynamic Work platform offering that is apparent by our early success with Advance; our billings outperformance, which indicates a strong demand environment in the quarter across segments and geographies; and enterprise traction, evidenced by record number of expansions greater than $100,000; and the sequential increase in customers with ARR of over $1 million. We see a big opportunity in front of us and are investing behind this signal. Now let me turn it back to the operator for questions. Operator?
Operator: [Operator Instructions]. And your first question is from the line of Brent Thill with Jefferies.
Brent Thill: Mark, just on large enterprise, I'm curious if you could spend a little time drilling in on the traction you're seeing. And also, I know Pete mentioned it's early on Advance. What type of impact is that having? And then for Pete, I had a quick follow-up.
Mark Mader: Brent, it's really a combination of seeing growth on 2 dimensions. The first is on the seat dimension people enrolling more people on the platform. The second is elevating what they're doing with the platform. And I think Advance is giving people a really nice composite offering where they can do everything from scaling a certain process implementing better import routines from legacy systems. These are things that are, I think, fairly different than what I would say sort of transactional work management, which may be sort of team task coordination and event planning. And I think what Advance is doing, it's giving people a much faster way to access the entire suite of offerings.
Brent Thill: And for Pete, just 47% billings down to low 30s on the guide. Many will ask, why such a sharp decel. Can you maybe just bridge what's happening in Q3? And I know there's some onetime M&A that's perhaps having some impact. Can you just maybe walk through the decel and why perhaps it's maybe not as severe as it looks?
Pete Godbole: Sure, Brent, this is Pete. The comparison points on a quarter-by-quarter represent different economic realities. The comp in the first half is compared to a COVID impacted base, and the second half represents a recovery starting to have a recovery from that base. That's 1 part of it. The second part of it is in the first half of fiscal year '21, we had no Brandfolder in the base. Now in terms of your specific question about Q3, if you recall, in Q3 of fiscal year '21, we had a $4.7 million onetime acquired deferred revenue pickup, which when you sort of put into our guidance or factored into our guidance, would make our guidance about a 38% to 39% year-on-year growth.
Operator: And your next question is from the line of Mark Murphy with JP Morgan.
Pinjalim Bora: This is Pinjalim on behalf of Mark. Congrats on the quarter, guys. One question, it has been a few quarters now since you launched Bridge. What has been the uptake of that product so far in terms of feedback? Are you seeing a lot of customers build kind of cross-functional workflow automation such that Smartsheet is becoming more deeply embedded into the business processes? Is that part of the enterprise direction as well that you're seeing?
Mark Mader: Yes, Pinjalim, it's -- you really have to think about it across all of our connectors, not just Bridge. So it's a combination of Bridge, Data Shuttle and then our purpose-built connectors. And those are included in our Advance offering. And so with that availability of Bridge and those other connectors, we are seeing a significant increase in the number of workflows and the amount of data being transferred between Smartsheet and other systems of record. And importantly, it's enabling us to connect to both other cloud or SaaS offerings as well as a significant number of on-prem legacy systems. And so many of the solutions that we see out there today are where customers are pulling data from multiple sources into Smartsheet to manage a workflow or process. So we believe that definitely embeds us into the core workflow of the organization. A really great example of that is we have a leading sportswear manufacturer that's actually using Data Shuttle to pull data into Smartsheet from multiple legacy systems to manage product life cycle management of their sportswear offerings. And so it helps them manage inventory, logistics and actually make better decisions about win to change out in the cycle out of products.
Pinjalim Bora: Understood. Just to double quick a little bit, the 2 expansions that you talked about over 1 million, I think you said. Is that -- if you think about between seats and other offerings, capability-based offering, how do you -- how does that mix look at $1 million sequential? Is that more driven by seats or more driven by some of these other products?
Pete Godbole: I think what will be notable to speak to is that of our top 10 deals this quarter, 7 of them contained Advance. So these are all hybrid deals where you have seat consumption as well as capabilities consumption. I think that's probably the best marker to point to.
Operator: And your next question is from the line of Terry Tillman with Truist Securities.
Unidentified Analyst: This is [Colin Pastelle] on for Terry. Congrats on the quarter. I just wanted to go back and talk about the international, when we had quickly. So one of the things that we were kind of curious about was, you mentioned there was some different use cases between maybe the U.S. and international markets. What were those use cases that you can maybe expand there?
Pete Godbole: [Colin], this is Pete. The use cases we see internationally are very consistent. There's the same kinds of use cases we've seen the U.S. play out internationally as well. We saw that demand vector play out as strong internationally as it was domestic.
Unidentified Analyst: Perfect. And then just 1 quick follow-up. So as you continue to land some bigger deals, 7-figure and kind of above, are there any changes in linearity for forecasting in terms of these larger deals? And how should we think about those going forward?
Pete Godbole: So I'd say we are closing larger transactions. That's a trend we've seen. What you should expect in the back half is, as these transactions grow, we'll start to see a larger weight for Q4, and you're going to start to see an enterprise software seasonality play out.
Operator: And your next question is from the line of Scott Berg with Needham.
Unidentified Analyst: This is [Jon Levin] on for Scott Berg. Congrats on the quarter. Just curious, given that the market is very much still in its early stages, coming out of the pandemic, are you guys starting to see customers seeking more to standardize single solution versus having multiple CWM vendors? Any color there would be helpful.
Mark Mader: Yes, we still see a huge opportunity, which is -- which we consider greenfield. When we look at -- what we consider direct competitors in category, we're talking very low teens, like 10%, 12% of our opportunities. We would consider called contested. So the vast majority are not. So when we think about transactional use cases, there's so many teams in divisions within businesses that it's quite common in those scenarios where a team might choose a different solution. Where we see less sort of diversity is when it elevates within an organization, and IT is asked to formally approve. So that would mean making sure that we have consistency in policy, making sure that it's aligned with the authentication mechanisms, all those pieces. That's where we are seeing IT make a decision for one. However, I would say those numbers of opportunities are still quite few as people -- as the market is forming. We were talking low single-digit percentage of an available TAM that's been penetrated. We do expect that to change over time, and one of the reasons we've invested so heavily on the enterprise dimension.
Operator: And your next question is from the line of George Iwanyc with Oppenheimer.
George Iwanyc: Mark, just following up on those competitive answer that you just gave. Do you see very many head-to-head contested deals right now? Or is the majority of the opportunity still greenfield, like when are you displacing? What tools are you displacing?
Mark Mader: But I think, as I said, about roughly 10% of the deals, you would hear of another competitor, not named sort of status quo. As you move up the ladder in terms of the sophistication of what the customer is expecting that number falls precipitously. So again, if you're looking for basic use cases, tax tracking, team coordination, you're going to see more players there. And as you move up, whether it's on the dimension of combining work management with digital asset management, right? The Brandfolder Smartsheet combo, there's not a lot of options in market for that. So you see almost no competition there. And in terms of the companies that are being displaced, think of certain markets that are maybe considered legacy, like the traditional PPM providers, the planned views of the world. I think there's a really neat opportunity to take significant share in markets like that. And the team has done a great job of getting us ranked #1 in the PPM G2 ranking recently. So we see a really neat opportunity there to also take share.
George Iwanyc: Okay. And then the new customer generation continues to be pretty solid. How do you feel about that going forward? How are your partners contributing there? And do you expect incremental leverage now that Smartsheet Regions is going to be available?
Gene Farrell: Yes. I think -- this is Gene. As we called out on the call, we're seeing a nice uptick in partner contribution to overall ARR growth. And I think that we are absolutely looking at how we can support customers to land more often and discover what's possible as smart sheet. And then as they learn what they're capable of graduate and move up to higher-level deployments and capabilities. And so we think it's important to both continue to land pretty aggressively as well as drive the expansion motion. I think Regions will be a nice way for us to reach markets where data residency has been a concern for customers, particularly when you look at markets like Germany, where the regulatory environment makes it really challenging for local companies to host and manage all of their information in the United States. And so we see the launch of our first region in Frankfurt as an unlock for us, and there will be more to come.
Operator: And your next question is from the line of Keith Bachman with BMO.
Keith Bachman: I had 2 questions, if I could. The first is, I want to try to understand how you're thinking about your longer-term profit targets, including free cash flow, which you've previously given. How do you think about the path to realizing those targets of, call it, 20-plus percent margins at a time when both yourself and your competitors are growing very fast, but none of which are generating positive free cash flow or generating positive operating income? How do you think about the growth of trying to realize those targets? Or how should investors thinking about that? And then I have a follow-on, if I could.
Pete Godbole: So Keith, this is Pete. The guidance we gave on the total revenue was between fiscal year '23 and '25 we'd get to $1 billion of full year revenue. We expect that to be in the back half of the year. When we get to that, we expect that to be in FY '25. So when we get to that number, we believe our model is capable of generating free cash flow at scale. So that's kind of the statement we've made. We think it's completely possible and to invest in the meantime as we get there. So we're sort of taking advantage of all the opportunities to invest and the huge dance that's ahead of us.
Keith Bachman: Okay. Okay. Let me -- just my second question, though, is your average ACV per customer is still going very rapidly, 42% year-over-year. And yet, it still represents a relatively small percent of spend, so to speak, for your average client base. What are the main sources of friction that you see to keep growing that number over the next 12 months? And what are the main strategies and tactics that you're taking to keep growing that average ACV per customer if not accelerating?
Mark Mader: Yes, we've grown, I think, north of 40% for quite a few quarters in a row now. I don't feel like we're feeling a lot of friction on that. With the Advance introduction, really making it easier for customers to understand what's available to them and then give them a very straightforward mechanism for engaging with us. I think this is one of the reasons why I see 158% growth rate on the over $100,000 deals. I mean it's landing with customers right now. And we serve tens of thousands of organizations today. So our job is to really understand -- to make sure that our customers understand what their pathway is. And as we think about improving both the entry point into our platform as well as the presentation of the full suite, I think it's a lot on us to how do we really product market that extremely well. But I think the ROI on some of these implementations is so high we're not seeing sort of challenge in terms of, well, we're not sure there's value here. It's more helping people understand how it coexists among their CRM investments, their ERP investments and their other integration platforms that they have. So -- but we're very pleased with the progress.
Operator: And your next question is from the line of Arjun Bhatia with William Blair.
Arjun Bhatia: Mark, maybe one for you. I'd love to understand the role that Advance is playing in new customer acquisitions? And if that's a part of the conversation at all with new customers or if it tends to be more of an expansion point as customers graduate from that transactional use case to the more transformational deployments that you talked about?
Mark Mader: I think one of the really neat observations from the first quarter was that we had more Advance sales within our commercial quota-carrying rep group than we had in our large enterprise. So the message of Advance resonates all up and down the spectrum. And what we're finding is that customers are assessing which company to go to market with they are and wish to buy, they're saying, what are my immediate needs? And then if I'm successful, what is going to be asked to me in 6 months, a year or 2 years out? And I think the understanding of Advance and the presentation of Advance, not just from a capability standpoint, but from a governance in an IT and security dimension. That is something that's coming up more and more and more. So even if someone is not ready in the first month to say, okay, I want to do a full control center Data Shuttle, full integration with Salesforce, it's important for them to know that. Because what they don't want to do is paint themselves in their corner and say, oh my gosh, we have tremendous success with 200 people, and we're collaborating really well. And then find out that they hit a roadblock with some type of IT requirement. So it is part of almost every one of our discussions now, and we have enough confidence in the pathway to not have to force someone to Advance out of the gate. It's like we've all put -- since the beginning, it's been around the earned enterprise. You will sell someone what they need. You will educate them on what's available and then you will support them throughout that journey. And that is what we're now starting to see accelerate.
Arjun Bhatia: Wonderful. It's very helpful. And then, Pete, maybe 1 for you just on the guidance. I think we saw almost $20 million increase to both revenue and billings for the full year. I don't know -- I don't think we've seen that level of a raise before. Can you maybe just walk us through what you're seeing through August and the pipeline that gives you the confidence to raise guidance so meaningfully?
Pete Godbole: Arjun, as we looked at the quarter, we were really pleased to see some really strong demand signals emerge. The first one was on the transactional business, which we consider sub-50, which came back to pre-COVID levels. It was in the number of transactions that came through as well as the cycle time to close those deals. So positive on that front. The second thing we saw was the greater than $100,000 deals, which we consider large deals. Those grew 158% year-on-year. So really strong momentum there as well. And then the last signal, which was very meaningful to us was the first quarter out of the gate with our Advance pricing and packaging. We saw that gain traction. After being announced in June, we booked over 100 deals and it was in 7 of our top 10 transactions. So that's the confidence that we are seeing as we build our guidance in revenue and billings that we've shared with you.
Operator: And your next question is from the line of Steve Enders with KeyBanc.
Steven Enders: Just wanted to touch a little bit more on the strength that you're seeing in the $100,000 deals and $1 million deals. Just want to get a better sense for kind of what you think the biggest drivers are within that part of the market? Do you think it's improved execution within your sales team or is there something fundamentally that's changed in the market over the past year now that is helping drive and support this?
Mark Mader: I think what we're observing is when we thought about how we were going to orient our offering with Advance, we always talked about customers, customers, customers. How are they going to perceive it? How can they understand it? And then after talking about customers so much, we said, "Hey, isn't this sales going to be a huge benefit for our sales team?" So as you're hiring, upticking, I think, 30% more quota-carrying reps, the impact of having a more easily understood offering with value statements has a massive impact. And I think we're at the beginning of that, and we are hiring very assertively throughout this year. But again, that combination of both great for customer, much better for that new onboarding sales rep as well. And I would say, again, both on the commercial dimension and large enterprise.
Steven Enders: And just I guess follow up on that. It's good to hear that the continued sales execution and hires there. But how are you thinking about the channel opportunity and help in having that augment that go-to-market motion? And how is the channel, I guess, kind of changing the types of customers, the opportunities that you're bringing in here now?
Mark Mader: What we're recognizing is that the channel is not just about who brings leads to you. It's about who can also provide expertise in certain areas and solutioning that you're trying to solve for. So if you have someone who's steeped in manufacturing, steeped in health care, steeped in technology best practices, those can be super additive to your sales business. So when we talk about the 93% year-on-year increase, it is both a combination of people bringing us deals and also assisting on deals. So I think that hybrid go-to-market Smartsheet team, combined with partnering field, who's the trusted source already, we see that as actually a very significant portion of that, what we call the channel business.
Operator: And your next question is from the line of Michael Turrin with Wells Fargo.
Unidentified Analyst: This is [Michael Berg] on for Michael Turrin. I wanted to kind of piggyback on some of the last few questions on the success in large enterprise. When you think about both the impact of the channel as well as Advance, how can we quantify maybe the increase in ACV for some of those either partner-led deals or deals with Advance? Obviously, there's 7 of the 10 largest transactions in the quarter, a metric. So just kind of curious how to put some more color around that.
Mark Mader: I think when we look at Advance, it's a driver of -- it's a sign that somebody is making a more substantive investment in the platform. We do expect that all Advance transactions will be north of $50,000, right? So everything that you have is going to be accretive to that measure. In terms of when partners are involved, I think partners are often very well suited to have larger solution discussions. They may know the business more deeply. They may know what that business is looking to solve for, which I think lends itself really well to a more, again, substantive solution that they're presenting. Very often, those larger solution recommendations require the strength in the platform that Advance offers. I would say if you're looking to sell a very significant solution, it's probably going to be more than seats. It's one of the key indicators that we see when somebody is really looking to do something, again, beyond that transactional work management work. Yes, I think in terms of -- I think it's -- I think we will keep it there in terms of additional texture. But we're very pleased to see that the growth will continue to be shaped by just flat out usage and then also the suite offering that we've been speaking about.
Unidentified Analyst: Very helpful. And a quick follow-up. When you think about your business longer term, obviously, you've stated the sizable TAM, but with lots of greenfield. And I think technologically speaking, we keep hearing RPAs coming into work full automation type use cases. How can you talk about your platform and either using RPA or coming up against it potentially competitively and just thematically, as it pertains to the Smartsheet business?
Gene Farrell: Michael, this is Gene. And I would say that today, we really see RPA as being a complement to where we are. I mean, RPA vendors are moving beyond just trying to automate kind of wrote process and starting to move more into orchestration. And you saw us -- I think last quarter, we announced our integration with UiPath. And we're seeing the ability to engage with customers as they think about their whole software suite and really think about what are the workflows that maybe we'll originate an RPA and then move over into Smartsheet to engage with their teams. And it's really not an either/or, it's really a both from what we've seen. And I think that's part of why we're building bridges there and alliances because we hear that signal from customers that it's being part of that strategic software stack really requires you to be able to interact with RPA and the other big systems of record, whether it be ERP or your HR systems. And so that's what we're building for.
Mark Mader: If I could add one piece. I think one of the hallmarks of our category also is it provides the interface. It's not the platform that it's only the platform that processes. It's the interface that people configure and actually utilize to update that information and trigger events. That interface takes years and years to develop and tune to get aligned with the user preference. And I think that's one thing that will keep our category very relevant as people are looking to solve.
Operator: And your next question is from the line of Rishi Jaluria with RBC.
Rishi Jaluria: First, I'd like to actually start exactly on that. So by all metrics, business continues to improve. Just want to get a sense of how much of the acceleration and improvement in the underlying metrics so far, is just a recovery and some of the headwinds fading that we saw during the pandemic, SMB coming back versus factors, longer-term secular tailwind, things like work turning more -- being more hybrid, turning more asynchronous in nature. Have those tailwinds started to show up in the business or have those really yet to play out? And then I've got a follow-up.
Mark Mader: I really feel like we've surpassed where we were getting into COVID. And it's really refreshing to see. And the offering has changed, right? I think people's fluency around what they need and what is possible has fundamentally changed over the last 18 months. So this is not about getting back to where they were. This is -- I think people are in a much stronger position today to make informed calls. Pete, anything to add?
Pete Godbole: I think what I would say is we're starting to see that recovery go beyond where we were in the COVID times. And you can see that in the metrics, whether it's the transactional volumes, whether you see that in the cycle times, you're seeing that in space. So I think you're starting to see that. And I think as it relates to the -- are we a systemic beneficiary of it. I think that's a longer-term question. But clearly, over the last 12 or 18 months, the fluency with the space has gone up, and you're seeing that in transactional volumes.
Rishi Jaluria: Okay. Great. That's helpful. And then, Pete, for you on the billings side. It looks like there was a big uptick specifically in the mix of billings that are annual kind of actually higher than even it was pre-COVID. I know during the pandemic, there was some talk of customers wanting to go to shorter duration deals, right, to a monthly versus the annual deals. Can you talk a little bit more about that mix? And are you seeing more willingness to sign upfront annual deals versus that monthly? Or what's going on there? And how should we be thinking about the billings mix going forward?
Pete Godbole: I think, Rishi, the -- if you looked at the mix we had in the thick of the pandemic, we saw a little bit more from the monthly sort of plans we saw in place. But since then, we've been probably consistent in the amount of annual plans, it might vary a little bit by 1% plus or minus. And that's kind of the trend we're seeing.
Operator: And your next question is from the line of Tyler Radke with Citi.
Tyler Radke: You talked a lot about data residency this call, and just really wanted to expand on that topic a little bit. Just give us a sense for how significant of a breakthrough that capability was and maybe why it wasn't released earlier. Just give us a sense for maybe some pent-up demand that you could see internationally from rolling this feature out.
Gene Farrell: Yes, Tyler, this is Gene. The real unlock for us in data residency was the transition we completed last year to public cloud. We really needed to move our infrastructure into the public cloud to enable the ability to extend to different regions around the world. And so the first region and the area where we've seen the most customer interest has been in the EU and specifically, residency requirements in Germany. And that really became an unlock for us after we completed that cloud transition. We do hear a significant customer feedback around the need to have a local resident or having their Smartsheet data being in country for a broad set of use cases. And it doesn't mean that we don't get adoption in the EU today. But we definitely believe there will be a lot less friction once we have that unlock. In Germany, in particular, there are a number of data regulations that prevent certain types of data to be stored outside of the country. You have a similar scenario in EMEA, Australia, for example, any government customers have a requirement that all of their data be in resident as well or in country as well. And so we see it as a natural extension. And as -- in the coming quarters, we'll have more to talk about the things we're doing to expand our footprint and grow internationally, and we believe Smartsheet Regions are going to be a key contributor to that strategy.
Tyler Radke: Great. And if I could ask a follow-up just on the guidance. Certainly, most metrics, revenue billings were raised. But if I look at operating income, you outperformed by over $10 million in the quarter relative to your guide. But despite the raise in revenue, it looks like you're keeping your full year operating guide the same. So I was just curious if that's timing related. I think most companies we've seen just in terms of the budget for T&E returning and return to offices continues to get pushed out. But just any color on kind of where that incremental spend is coming from.
Pete Godbole: So we are investing aggressively in an opportunity we see ahead of us. So all the overperformance or deltas we apply into investment capital. And that's been the thesis of how we've operated. That's kind of what you're seeing across the board. We are committed to the $55 million to $45 million in op income that we've guided to, and we're investing the delta.
Mark Mader: The negative.
Pete Godbole: The negative.
Operator: [Operator Instructions]. And your next question is from the line of Allan Verkhovski with Wolfe Research.
Allan Verkhovski: I wanted to ask how was the linearity in the quarter? How does it compare to prior periods as well in terms of how the pipeline progressed? Is there anything to think there that could be exciting from an upside perspective, such as federal activity going forward? And I've got a quick follow-up.
Pete Godbole: So the linearity we saw in the quarter was very consistent with the previous quarter, so no real change there. I think in general, we were pleased with how the pipeline converted both in quarter generated pipeline as well as pipeline before the start of the quarter. We had similar metrics across regions and segments that seem very consistent.
Allan Verkhovski : Got it. And you had also mentioned that gross churn is getting better. Could you talk about what is necessarily driving that? Is that a result of the market? Or what you're pursuing? And how much better can it get?
Pete Godbole: So we saw gross churn improve. In the prepared remarks, we said it dropped below 6%. I think we're seeing 2 elements drive that. The first one is a year ago, we were hearing a lot more about COVID. The number of mentions in COVID in all our accounts has gone down significantly, which is the first item. And then the second item is we're seeing that our platform, the new Ui we launched is very engaging, and customers are really resonating with what the Ui does for them. And we believe that's a contributor to seeing a lower level of churn.
Operator: And there are no further questions. Mr. Turner, do you have any closing remarks, sir.
Aaron Turner: Great. Thanks, Tabitha. Thank you everyone for joining us today, and we will speak with you again next quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.